Operator: Good day and welcome to Sonida Senior Living First Quarter 2022 Conference Call. Today's conference is being recorded. All statements today, which are not historical facts may be deemed to be forward looking statements within the meaning of the Federal Securities Laws. These statements are made as of today's date, and the company expressly disclaims any obligation to update these statements in the future. Actual results and performance may differ materially from forward looking statements. Certain of these factors that could cause actual results to differ are detailed in the earnings release the company issued earlier today, as well as in the reports to company filings with the SEC from time to time, including the risk factors contained in the annual report on Form 10-K and quarterly reports on Form 10-Q.  Please see today's press release for the full safe harbor statement, which may be found at www.sonidaseniorliving.com/investor-relations and was furnished in the 8-K filings this morning. Also, please note that during this call, the company will present non-GAAP financial measures. For reconciliations of each non-GAAP measure from the most comparable GAAP measure, please also see today's press release. At this time, I'd like to turn the call over to Sonida Senior Living’s President and CEO, Ms. Kimberly Lody.
Kimberly Lody: Thank you, Doug. Good morning, afternoon, or good afternoon, everyone and welcome to our conference call to discuss Sonida Senior Living First Quarter 2022 Results. Joining me today are Brandon Ribar, our Chief Operating Officer; and our new Chief Financial Officer, Kevin Detz. There is a lot of good news this quarter. Most importantly, we've now delivered four consecutive quarters of occupancy and revenue growth, clearly demonstrating that our COVID-19 recovery and growth strategy is succeeding.  Same store occupancy for the quarter is 82.3%, a 680-basis point improvement compared to 75.5% during the same quarter last year. Same store resident revenue increased 12% compared to the same quarter last year due to the strong occupancy increase, as well as solid performance on rate growth. Revenue per occupied unit increased 3.2% compared to the first quarter of 2021. Keep in mind that Sonida’s in place rent increases occur throughout the year on a rolling basis as resident leases renew. This provides us with ongoing flexibility to consider community and market situations in the level of rent increases at renewal time. Breaking down the ramp or increase a bit more are in place rent increases are pacing at about 5% through the first quarter. In addition, market rates for new movements during the same period are also about 5% higher than the corresponding rate for the exact same apartment recently vacated. So we feel good about our execution and rate increases through the first three months of the year, both in terms of in place renewals as well as market rents for new movements. Importantly, our same store portfolio has begun to deliver margin expansion. Same store net operating income increased 13% sequentially from the fourth quarter of 2021. And NOI margin increased 200 basis points from the low point of 18.2% in the fourth quarter of ‘21 to 20.2% in the first quarter of 2022.  Our COVID recovery strategy was to focus heavily on occupancy and revenue growth knowing that NOI would follow. As I mentioned earlier, we've now delivered four consecutive quarters of occupancy and revenue growth. We believe that our performance in the first quarter of 2022 marks the beginning of incremental NOI expansion as we continue to grow occupancy and revenue while also managing costs, especially contract labor costs that have been very elevated in recent months. Our community leadership teams have been working hard to reduce the need for contract agency staffing, by focusing intense effort on recruiting, hiring, training and retaining new team members. As a result, net hires have been strongly positive in both of the most recent two quarters. This indicates not only further reductions in the utilization of costly premium labor, but also most importantly, stability and consistency in our workforce. Speaking of the amazing team members we have at Sonida. I'd like to highlight a couple of results from a recent companywide resident satisfaction survey conducted by an independent third-party organization. For all levels of care across our organization, 92% of respondents agree or strongly agree that their community feels like home. For community with our unique Magnolia Trails Memory Care program, our satisfaction scores surpassed the 2022 industry, memory care benchmarks in activities, caregiving and safety. We are very proud of these results, and even more proud of the people working in our communities because of the satisfaction scores directly reflect our unrelenting commitment to excellence. We believe that by continuing to focus on three major priorities, we will provide short and long-term incremental value for our investors, employees and residents. Our top priority is the health, wellness and engagement of our residents and team members with continued development of our people centered culture and differentiated resident programming. Second is delivering occupancy recovery to pre-pandemic levels by the end of 2022. And third is NOI expansion. We expect to improve our net operating income sequentially throughout the year by growing occupancy increasing rates responsibly, deploying innovative staffing solutions and diligently managing expenses. Lastly, I'm delighted to welcome Kevin Dietz; an Sonida’s Chief Financial Officer. Kevin joined the company on May 1, and he along with existing and new team members are already providing significant value to the business. I'll now turn the call over to Kevin for a couple of introductory comments, and then we'll go to Brandon for more insight on our operations.
Kevin Detz: Thank you for those kind words, Kim. To pick up where Kim left off. The first quarter results are proving out that the company is continuing to progress from the inflection point caused by the pandemic. This along with the recapitalization late last year and great work to provide debt maturity runway has been equally excited to join the company in this pivotal exciting time. Having spent the last eight years in Hospitality Management, I've been extremely impressed with the breadth and depth of talent in our community teams. I'm looking forward to working with Kim, Brandon, and the entire leadership team to execute on the company's growth strategy. As part of this growth strategy includes a keen focus on our cost to serve corporate G&A, maximizing our incremental margins on growth while raising an occupancy push up. At this time, I will turn it over our Chief Operating Officer, Brandon Ribar. 
Brandon Ribar : Thank you, Kevin, and good afternoon. Well, we are all hopeful the first quarter marks the end of the most impactful stages of the pandemic. I'm so pleased with the resilience of our local and regional operating teams through yet another period of operating headwinds. The challenges of the labor market driven by accelerated COVID cases could easily have up stalled the ongoing improvement in our operating metrics. However, we not only achieved occupancy improvement over Q4 2021 in a traditionally down quarter for senior living, but also delivered sequential improvement in REVPOR and operating margin in the face of the operating headwinds.  Even more encouraging performance trends within rate, volume and key labor metrics all moved favorably during March and April positioning as well for sequential improvement, as Kim referenced. In Q1, we also completed an integrated our first acquisition in nearly five years with the purchase of 157 independent living units across two communities in the Indianapolis MSA. With both an expected yield on cost exceeding 10% at stabilization, and AFFO contribution in the low teens. We are confident this acquisition will return value to our shareholders.  We are encouraged by early results from our sales and marketing efforts as the communities were able to improve nine points of occupancy in the first two months as part of the Sonida team. Our goal is to continue to identify similar acquisition opportunities in markets where we operate today, or markets where we don't currently operate that have similar characteristics to our current portfolio. As Kim referenced, we are pleased with both sequential revenue growth of 2.2% as well as year-over-year revenue improvement of more than $5 million, or 12% for the first quarter of 2022. Portfolio occupancy improved in each of the first four months of 2022 and we are pleased to 30 of the 76 communities we own or manage have achieved or exceeded the 90% occupancy mark in May.  In comparison, just 16 of our communities were at or above 90% at the end of Q1 2021. Ongoing sales and marketing support and capital investment in our communities with occupancy upside continues to be the focus for 2022. Key indicators related to demand remain encouraging as lead in tour volume for Q1 increased 18% and 11% respectively, over the same period in 2021 and generated a 13% year-over-year increase in total movements. Our strategic focus on increased generation of movements through market outreach and digitally generated leads lead to a year-over-year increase in movements generated from our own efforts and less reliance on third party aggregators.  One of our 2022 goals is to invest capital in several of our communities to continue to enhance our competitive position. These projects began in late 2021. And we now have nearly $8 million in revenue enhancing capital projects either completed or underway with completion dates in Q2, and Q3. We are pleased that our projects have been only minimally impacted by various supply chain issues in the marketplace. During our recent discussion of your end results, we referenced positive movement in key labor metrics over the last six months. Year-over-year for Q1 total labor costs increased $3.2 million, and more than 65% of the increase was related to contract, labor and overtime. After another difficult quarter. On the labor front, we are cautiously optimistic that Q2 is showing signs of overall improvement. Net hires remain positive and third-party contract agency dollars are expected due to decrease sequentially throughout the year.  Further implementation of flexible employee friendly staffing models that improve resident service and reduce the cost of premium labor are underway across additional Sonida’s communities in Q2. We have experienced accelerated candidate flow and stability in communities previously requiring use of the third-party agency. Our internal recruiting and retention strategies have also increased retention of existing employees in early 2022. Early trends for Q2 show a favorable reduction in year-over-year employee turnover.  Finally, non-labor related expenses consisting primarily of food, marketing, facility maintenance, and supply related items decreased just under 1% sequentially, with overall food costs declining 8% from the fourth quarter of 2021. In early 2022, we completed implementation of an updated menu management and meal costing technology to further enhance our resident experience and expense management processes. While labor pressure continued to impact margin recovery in the current operating environment, our team is pleased with sequential margin expansion and 13% growth both sequentially and year-over-year.  Our goals for 2022 remain consistent across all communities, deliver excellent resident care and services through a dedicated stable team of employees, achieve revenue growth driven by continued occupancy improvement and ongoing REVPOR increase and improve margin through creative stable staffing models, and strong and expense management practices in this high inflation environment. We will now move to the question-and-answer portion of the call. Operator, please open the line for questions at this time.
Operator: Thank you, ladies and gentlemen. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Steven Valiquette with Barclays. Please proceed with your question.
Steven Valiquette: Thanks. Good afternoon, everyone. Thanks for taking the questions. 
Kimberly Lody: Thanks, Steve.
Kevin Detz: Thanks, Steve.
Brandon Ribar: Hi. 
Steven Valiquette: I guess just to start off, you guys had that foot know that an APR ‘22 year receives another 9 million and relief funds, which is obviously pretty positive. Would you expect any additional funds beyond that in the rest of ‘22? Or do you think that's it? And also, if you can just remind us? Is the public health emergency potentially at some point this year, that just remind us around the material impact on the company one way or the other? Or if that's just kind of a nod of that, from your perspective, the way you're thinking about that right now? Thanks.
Kimberly Lody: Yes, so at this point, we don't expect additional funds from the Cares Act from the federal level. There are state programs that are currently underway, that we have applied for and we would expect to receive some funding from those day programs. In fact, we received some in in the second quarter. So, we would see that sort of spread out through the rest of the year. But in terms of the big, nearly $10 million, disbursement to us for the remainder of this year. I don't see that happening. And then in terms of the public health emergency, ending by the end of the year. I think it was really a non-event for us. The one thing that we did do during the pandemic is we do participate in the deferral of certain income taxes related to employee wages, and we do need to repay $3.7 million of that by the end of this year, we've already read repaid the first $3.7 million. We made that payment at the end of last year.
Steven Valiquette: Yes. Okay. You guys, I think addressed the labor expense trends for next quarter to kind of where you're leaving off in the first quarter. So I think we'll leave that topic alone for now. And the other one, just to touch on quickly would just be around some of your property acquisitions. You obviously had a couple in Indiana and a few in Arkansas. should investors expect any additional property acquisitions between now and the end of the year? Or do you think once you've completed, we'll keep you guys fairly busy. For now, as far as the integration process, etcetera?
Kimberly Lody: Well, we're continuing to look for acquisition opportunities, we have pretty specific criteria. In terms of what we're looking for, we want to make sure that if we do acquire another, community or communities, that the fundamentals are there that we can layer on our platform that we've developed here over the last couple of years, and really see that improvement in the operations similar to what Brandon referenced for the Indiana communities with their nine percentage point increase in occupancy just in the first couple of months that they've been with us and on our platform.  And then just a note of clarification, the Arkansas communities are Ventajas communities that we added to our portfolio managed communities back in December. So from a managed perspective, we're also interested in continuing to grow that portfolio. But our primary focus is on looking for good acquisition candidates, either in markets where we currently operate, and we feel like additional footprint would be helpful, or in markets where we don't operate today, but that the market has characteristics similar to our overall portfolio, meeting their middle market, the same general characteristics that we have in the portfolio.  And then, just to add a couple of additional comments or color to that we are looking to reduce the average age of the portfolio through those acquisitions. So over time, and we're also looking to deliver as we add to the portfolio and to do that over time as well.
Steven Valiquette: Got it. Okay. All right. That's it for me. Thanks. 
Kimberly Lody: All right. Great. Thanks for you
Operator: There are no further questions in the queue. I'd like to hand the call back over to Kim Lody for closing remarks.
Kimberly Lody : All right, great. Well, this concludes today's conference. I want to thank everyone for attending, and have a great day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.